Operator: Good day, and thank you for standing by. Welcome to the StoneX Group's Second Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Bill Dunaway, Chief Financial Officer. Please go ahead.
Bill Dunaway: Good morning, and welcome to our earnings conference call for the quarter ended March 31, 2025, our second fiscal quarter. After the market closed yesterday, we issued a press release reporting our results for the quarter. This release as well as a slide presentation, which we will refer to on this call, are available on our website at www.stonex.com. The presentation and an archive of the webcast will also be available on our website after the call's conclusion. Before getting underway, we're required to advise you and all participants should note that the following discussion should be considered in conjunction with the most recent financial statements and notes thereto included in the Form 10-Q filed with the SEC. This discussion may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. These forward looking statements involve known and unknown risks and uncertainties, which are detailed in our filings with the SEC. Although the company believes that its forward looking statements are based upon reasonable assumptions regarding its business and future market conditions, there can be no assurances that the company's actual results will not differ materially from any results expressed or implied by the company's forward looking statements. The company undertakes no obligation to publicly update or revise any forward looking statements, whether as a result of new information, future events or otherwise. Readers are cautioned that any forward looking statements are not guarantees of future performance. I'll be starting with slide number four in the slide deck. So first, I'd like to highlight that during the quarter, our Board of Directors approved a three for-two stock split of our common shares. Trading on the stock split adjusted basis began on the market open on March 24, 2025. And as such, all per share figures referenced today are on a split adjusted basis. Second quarter net income came in at $71.7 million with diluted earnings per share of $1.41 which represents 3529% growth over the prior year respectively. These measures were down 1617% versus our immediately preceding record first quarter. This represented a 15.7% return on equity despite a 51% increase in book value over the last two years. We had record operating revenues of $956 million up 17% versus the prior year and up 1% versus immediately preceding quarter. As a reminder, our operating revenues include not only interest and fees earned on our client balances, but also carried interest that is related to our fixed income trading activities. Net operating revenues, which nets off interest expense, including that which is associated with our fixed income trading activities, as well as introducing broker commissions and clearing fees, were up 15% versus a year ago and down 1% versus the record achieved in the immediately preceding quarter. Total compensation and other expenses were up 9% versus the prior year quarter and up 2% versus the immediately preceding quarter. Variable compensation was up 19% versus the prior year, which is higher than the growth in net operating revenues as a result of declines in net operating revenues in our self directed and retail segment and overall interest in fee income earned on client balances, which typically have lower rates of variable compensation associated with them. Fixed compensation and related costs were up 9% versus a year ago and up 1% or $1.2 million versus the immediately preceding quarter. The immediately prior quarter included $5.8 million in fixed compensation expense related to a departing executive officer. It is of note that the immediately preceding first quarter as well as the prior year second quarter each include class action settlements received of $5.7 million and $6.9 million respectively, which are included in other gains. Looking at it from a longer standpoint, our trailing twelve month results show operating revenues were up 18%, net income was $295.4 million, up 22% with earnings per share of $5.90 and an ROE of 17.3% above our target of 15%. We ended the second quarter of fiscal 2025 with a book value per share of $38.59. Turning to slide number five in the earnings deck, which compares quarterly operating revenues by product as well as key operating metrics versus a year ago, we experienced an increase in operating revenue across most of our product offerings led by a strong performance in physical contracts. Transactional volumes were up across all of our products and an increase in volatility drove growth in client balances and an increase in rate per contract and spread capture across most of our products with the exception of payments in FX and CFDs. Just touching on a few key highlights for the second quarter, we saw operating revenues derived from physical contracts were up 58% versus the prior year off the back of strong growth in both precious metals and our physical ag and energy businesses, most notably in Cocoa. However, they were down 22% versus the immediately preceding first quarter. Operating revenues derived from listed derivatives were up 15% versus both the prior year and immediately preceding quarter, primarily driven by our Commercial segment. Operating revenues derived from OTC derivatives were up 14% versus the prior year and up 65% versus the immediately preceding quarter, driven by increases in both contract volume and rate per million, in particular in Brazil and European markets. Securities operating revenues were up 25% as volumes were up 19% and the rate per million increased 17% versus the prior year, primarily driven by significant improvement in our equity businesses as well as compared to the prior year due to market volatility. Payments operating revenues were up 2% versus the prior year, but down 13% versus the immediately preceding quarter, which is always a strong quarter for us, with NGOs and charitable organizations increasing their payment volumes during the end of the calendar year. FX and CFD revenues were down 12% despite a strong increase of 10% in average daily volume as we experienced a 19% decline in rate per million driven by lower spread retention and product mix. This also represented a decline of 28% versus a record first quarter of 2025. Our interest and fee income earned on aggregate client float, including both listed derivative client equity and money market and FDIC suite balances decreased 2% versus the prior year, primarily due to lower short term interest rates, which were mostly offset by growth in client balances. Turning to slide number six, this depicts a waterfall of net operating revenues by product from both the prior year quarter to the current one, as well as the same for the trailing 12 month periods. For the quarter, net operating revenues increased 15% with largest gains coming from securities up $32.2 million followed by growth in listed derivative and physical contracts of $12.1 million and $11.8 million respectively. As noted earlier, it was a challenging market environment for FX and CFDs, which were down $9.3 million. Looking at the bottom graph for the trailing twelve month period, it shows a slightly different picture, as an addition to the growth in securities, we see large increases in interest and fee income, listed derivatives, physical contracts and FX and CFD contracts, slightly offset by declines in payments and OTC derivatives. Moving on to slide number seven, I will do a quick review of our segment performance. Our commercial segment increased 18% in net operating revenues, primarily driven by strong performance in physical contracts as well as 2814% growth in listed and OTC derivatives respectively. Segment income was up 13%. On a sequential basis, net operating revenues were up 2% and segment income was down 5%. Our Institutional segment experienced record net operating revenues and segment income in the second quarter with growth of 28% and 41% respectively. The growth in net operating revenues is principally driven by $31.7 million increase in securities revenues, primarily in equity markets. Non-variable direct expenses increased 2%, partially offsetting the net operating revenue growth. On a sequential basis, net operating revenues and segment income were up 10% and 11% respectively. In our self-directed retail segment, net operating revenues were down 14% and segment income was down 34%, reflecting the high level of operating leverage inherent in this business. The decline in net operating revenues is primarily driven by a 34% decline in rate per million in FX CFD contracts, which was partially offset by a 34% increase in volumes. As noted earlier, the second fiscal quarter was a challenging market environment for spread capture in this business. On a sequential basis, net operating revenues were down 32% and segment income was down 61% versus a record quarter in this segment. In our Payments segment, net operating revenues were up 2% and segment income was relatively flat. Rate per million was down 15% versus the prior year. However, the rate per million was relatively consistent with immediately preceding two quarters. Average daily volume was up 20% versus the prior year, but down 8% versus the immediately preceding quarter. Moving on to slide number eight, looking at segment performance for the trailing 12 month, we experienced strong growth in our Institutional segment with net operating revenues up 27% and segment income increasing 34%. In addition, our self-directed retail segment recorded increases in net operating revenues and segment income of 1127%, respectively. Our commercial segment recorded increases in net operating revenues and segment income of 8% to 10%, respectively. Payments recorded decreases in net operating revenues and segment income of 57% respectively. Next, Slide number nine, depicts our interest and fees earned on client balances by quarter as well as a table which shows the annualized interest rate sensitivity for a change in short term rates. The interest and fee income net of interest paid to clients in the effective interest rate swaps increased to $500,000 to $74.5 million versus the prior year. This represents a $2.9 million decline from the immediately preceding quarter as we're starting to feel effect of the Fed actions to reduce short term interest rates. As noted in the table, we estimate 100 basis point change in short term rates either up or down would result in a change in net income by $28.2 million or $0.57 per share on an annualized basis. With that, I will hand it over to Sean.
Sean O'Connor : Thanks, Bill. Well, the big news of the quarter was our announcement of the planned acquisition of R.J. O'Brien. We covered a lot of the background of this transaction in a separate call when we announced the transaction, but perhaps it's worth a quick overview now as well. We believe that this is a transformational transaction and our largest ever that positions StoneX as a market leader in global derivatives and reinforces our position as an integral part of the global financial market infrastructure. With institutional grade global market access, end to end clearing and execution capabilities, high touch service and deep expertise, this acquisition enhances our entire franchise. It supports our goal of becoming the counterparty of choice for clients across asset classes, embedding our integrating offering into long term trusted relationships. R.J. O'Brien has been a leading FCM in the industry with a stellar reputation and a culture matching our own. And while we are active in the same derivative markets, we have a limited amount of customer overlap. RJO segments its business into commercial, introducing brokers, institutional and retail segments. The commercial segment consists of large commodity clients similar in nature to those in our own commodity segments and accounts for approximately 11% of RJO revenues. Additionally, many of RJO's introducing brokers serve as smaller commodity producers, which we at StoneX do not typically cover with our high touch approach. However, we believe that StoneX has the best in class toolkit to service these clients, including our extensive OTC and structured product capabilities as well as our physical logistics servicing capabilities allowing us to provide additional value added services such as embedding price protection into physical contracts to avoid hedge accounting complexities, assisting in moving goods on railcars or ships and running managed price protection programs secured by physical grain eliminating the need to finance margin calls. We know these products not only deepen client relationships, but also increase client value. We see strong potential to bring these capabilities to RJO's client base, representing a meaningful revenue synergy opportunity. RJO is the best in class provider to introducing brokers in the listed derivative industry, providing these IDs with execution and clearing they need to service their clients. RJO has over 250 IB relationships and we have just over 100. Interestingly, we do the exact same thing for retail securities firms through our correspondent clearing business where we provide the execution and clearing services to over 200 retail introducing broker dealers, RIAs and wealth management firms. So now in aggregate, this will now position us as one of the leading firms providing these critical back end services to over 600 retail firms across both asset classes. This dramatically expands the overall market footprint as these firms aggregate assets and trading flow for us. RJO is a market leader in providing interest rate hedging products to institutional clients, mainly banks looking to manage the interest rate risk, an area that has not been a core focus for StoneX to date. RJO has been exploring opportunities to expand into the trading of the underlying debt instruments to expand these relationships. This aligns directly with our fixed income business. As you know, our fixed income business is focused on exactly that, providing banks with the underlying fixed income instruments they invest in, from treasuries to agencies, mortgages, asset backs as well as corporate bonds, both investment grade and high yield. Combining these complementary capabilities will provide us with a compelling capability to service all of the needs of these banking institutions around the world. RJO’s retail segment is small and will be combined with our much larger broader based retail effort. As you can probably tell, we're very enthusiastic about this transaction. While we have not completed the detailed work to quantify revenue synergies, we believe that they could ultimately exceed the expected cost synergies in terms of bottom line impact. More importantly, we see a significant opportunity to enhance client value and deepen our position as the counterparty or broker of choice across the industry. RJO brings an attractive financial profile to StoneX, having generated $766 million in revenue and approximately $170 million in EBITDA during calendar 2024. This acquisition is expected to immediately enhance our margins, our EPS and our return on equity with the addition of and in addition add nearly $6 billion of client float and approximately $190 million in listed derivative contract volumes. Additionally, we've identified approximately $50 million in cost synergies, the majority of which we expect to realize within the 18 to 24 months of closing. To satisfy the purchase price of $900 million, we'll be issuing $625 million of senior secured notes as well as $275 million in common stock to existing RJO shareholders. It is interesting that when we look back five years ago during our initial presentation announcing the acquisition of GAIN Capital, we reported EBITDA of around $129 million and stockholders' equity of around $615 million. Now following the acquisition of RJO, including the realization of the full $50 million in synergies and on a pro form a basis, we would have around $750 million in EBITDA, up nearly 6 times over this five year period and over $2 billion in stock equity, up over 3 times. This is a dramatic change in the scope and scale of the overall StoneX franchise over this five year period. As a regulated business, this transaction requires several change of control approvals, which are underway and we expect the transaction to close in the second half of 2025. In addition to the recently announced acquisition of RJO this quarter, we also announced the acquisition of The Benchmark Company, which is a full service investment banking firm offering robust sales and trading platform, award winning research and a highly experienced investment banking team. Just like StoneX, Benchmark is a founder managed firm, which was established by Rich Messina over 30 years ago. Benchmark brings broad relationships with over 800 institutional accounts to StoneX, which we believe we can leverage across StoneX's broader product offering brings a new investment banking capability, which we believe we can leverage into our existing client base, both for equity and debt capital markets transactions. Rich and I have been exploring a potential transaction for many years and I'm glad we have finally taken the step and believe that the combination of the two firms will be powerful and accretive to all parties concerned. Note that the closing of this transaction is also subject to regulatory approval and customary closing conditions. Thirdly, during the quarter, we also announced a strategic investment and partnership with Bamboo Payment Systems to provide local in country payment services for our clients in Latin America. Some years ago, we identified that our clients needed a digital payment service to accept and make payments in country. While we initially dedicated an internal resources to building these capabilities, we have decided to partner with the firm that already possesses the expertise and proven experience in this area. Bamboo brings deep expertise and established payment ecosystem across Latin America with over 200 payment methods in 11 countries and connections to more than 600 local banks and institutions, enabling us to offer comprehensive end to end pay in and payout solutions for our existing clients. Bamboo clients will also benefit from our cross border capabilities. As part of this transaction, we not only established a commercial relationship, strategic investment, becoming one of Bamboo's largest shareholders and securing a pathway to full ownership should we choose to pursue it. The closing of this transaction is also subject to regulatory approvals. Additionally, a couple of days ago on May 6, StoneX entered into a definitive agreement to acquire Plantureux, a well-established Paris based brokerage firm specializing in agricultural commodities, particularly cereals and oilseeds across both the physical and derivative markets. This acquisition will mark StoneX's entry into the French grain market, the largest grain producing region in Europe, expanding our footprint into a strategically important location. Again, similarly to the previously mentioned transactions, the closing of this transaction is again subject to regulatory approval and customary closing conditions. During the quarter, we received CME approval for our New York based metals vault, make us one of only 11 U.S. Depositories authorized to facilitate COMEX and NYMEX deliveries and the only non-bank FCM with this capability. Our vault is authorized to store and deliver gold, silver, platinum and palladium, enhancing our vertically integrated offering in metals and complementing our existing vault operations in London and Frankfurt. At the beginning of this fiscal year, we completed the acquisition of JBR Recovery, a silver recycler in the UK, One of only two companies accredited by the LBMA for good delivery of silver to the London Bullion Markets. This was discussed last quarter and given all the activity on the metal side, we thought it would be a good time for us to do a deeper dive into our global metals market, which Philip will now do for us. But as you can see, the last quarter has been very active for us on the acquisition side, and I think we're well poised for an exciting year or two as we bed down these acquisitions. Philip, over to you.
Philip Smith : Thank you, Sean. Like last quarter, when we provided a deep dive into StoneX Payments, this quarter we felt it topical and relevant to highlight StoneX Metals. For this discussion, I'd like to point you to slide number 13 in our deck. StoneX Metals is a truly global franchise powered by a diverse team of over 80 professionals operating from Hong Kong to Los Angeles with key hubs in Singapore, GIFT cities in India, Dubai, Hamburg, London, Charlotte, and New York. We provide an end to end offering across physical and financial metal markets, including trading, storage, logistics, and hedging capabilities, serving a global customer base of over 1,000 commercial and financial entities as well as over 127,000 retail clients. Our business is rooted firmly at the center of the global metals ecosystem. StoneX is uniquely positioned as the only non-bank participant in setting the gold, silver, platinum, and palladium daily price benchmarks. StoneX is also the only firm globally to hold these memberships in addition to being a category one ring dealing member of the global base metals benchmark setting venue, the London Metal Exchange or LME. Over the past five years, net operating revenues for StoneX Metals have increased by over 40%, now consistently exceeding $200 million annually. We continue to build on this momentum with strategic investments such as the acquisition of JBR Recovery Limited and LBMA Good Delivery silver recycler, LBMA being the London Bullion Metal Association -- Market Association. My apologies. And as Sean mentioned, the launch of a CME approved precious metals vault in New York and one of the first entities to establish a GIFT city presence providing access into the Indian Subcontinent. These developments strengthen our capabilities across refining, storage, and distribution, aligning with our mission to create a fully integrated global metals platform. So who are our clients? StoneX Metals serves a dynamic and expanding client base that includes central banks, sovereignments, refineries, bullion banks, commercial enterprises, financial institution and institutions and retailers. Our value proposition is based on seamless execution, market access, and tailored solutions to meet a wide array of customer needs. So what have what have been some of the recent areas of expansion? Well, in base metals, we have seen steady and diversified growth across our base metals business. We enhanced our LME option market making capabilities by onboarding a highly experienced trading team, significantly boosting client engagement and trade volumes. Earlier this year, we completed the first ever lithium carbonite futures block trade on AVAX following our previous success with nickel sulfate futures. These milestones reinforce our leadership in pioneering new contracts and facilitating liquidity in emerging battery metals. Stonex has established itself as the number one clearer of LME steel scrap and rebar contracts, driven by consistent clearing volume growth from both financial and physical players. Our performance during the nickel market disruption and more recently during the CME LME base metals price dislocation validated our disciplined risk management and client services capability. As other firms pulled back, we benefited from an increase in client onboarding, including large FCMs who sought stability and expertise from the world's premier metals team. Our investment in technology with our proprietary base metals trading platform, PMXecute, has streamlined execution and post trade processes, offering clients direct interaction and greater transparency. Integration with our upcoming enterprise trading app, Nexus, will further simplify risk management and mobile trading access. Now turning to precious metals, where similar to base metals, our electronic trading capabilities have continued to grow via our proprietary trading platform, PMExecute, which now handles an average of $2.5 billion in daily client trading flow. We also provide integrating integrated pricing services via direct trading APIs as well as streaming prices into major FXPM trading venues, for example, Bloomberg's FXGo, where StoneX is the number one liquidity provider in silver, platinum, and palladium. StoneX has always been a leading participant in physical bullion for commercial players around the world, including refineries, large commercial jewelry manufacturers, central banks, sovereign mints, and others. We help clients across access the precious metal in form and size they need and take advantage of locational arbitrages. We do this on a hedged back to back basis and utilize global logistics providers to handle the delivery with settlement usually within 24 hours. We provide -- we believe we are now one of the top three participants in this global in this market globally and the number one non-bank in the physical bullion market globally. Our e-commerce platform through StoneX Bullion offers physical bullion in the form of small bars and coins to both retail and wholesale customers across Europe. Since acquiring the business six years ago, it has grown tenfold in transactional volume through significant expansion in its client base with a more extensive product offering through access to the broader StoneX ecosystem. StoneX is now a leading provider in this space in Europe with broader geographical plans in the future. On a more topical matter, StoneX has been in the forefront in effectively navigating recent market volatility driven by the threats and imposition of U.S. tariffs on behalf of our extensive network of clients in multiple jurisdictions. We facilitated the physical movement of gold into the United States ahead of the possible imposition of U.S. tariffs for our clients and also for many international banks who themselves did not have access to the physical market and therefore relied upon the services of StoneX. Interestingly, the large movement to gold actually showed up in the U.S. trade deficit in January. And to remind you, we are on Slide 13. In looking at the Q2 figures, moving on to Slide 14, the second quarter of financial year ’25 was marked by exceptional volatility with geopolitical tensions and policy uncertainty driving significant dislocations across global metals markets. We saw gold prices surge to an all-time nominal high, surpassing even the inflation adjusted peak from the 1980 oil crisis. This was driven by investor flight to safety amid geopolitical instability and changing central bank strategies. This quarter, we saw significant global price list dislocations and logistics disruptions driven by divergent trade policies, particularly in the U.S. These shifts created pricing gaps between international and domestic U.S. metals pricing. In response, market participants rushed to move physical inventory into the U.S. warehouses to cover short positions ahead of possible tariffs, leading to significant logistical bottlenecks. As a result of this, inventories in CME warehouses jumped by nearly 850 tons or 250% from December 2024 to March 2025, highlighting the massive repositioning of metal within the market and the relevance of StoneX to expand its ecosystem to include its own CME approved vault. Concurrently and for similar reasons, the CME LME copper arbitrage spiked to over $1,000 per ton at its peak in February, underscoring the regional supply demand imbalances. Despite these unusual market events, StoneX delivered a standout performance with its net operating revenues in metals for Q2, up 20% versus the Q2 last year. Throughout this period of extreme volatility, StoneX was able to provide first class market making activity, preserve pricing integrity, and most importantly, continue to offer our full service offering to enable clients to access pricing in order to hedge exposures at a time when other counterparties had withdrawn from the market. Moving to Slide 15. What are the strategic pillars with regards to StoneX metals? Well, number one, building our ecosystem. As mentioned earlier, StoneX obtained CME accreditation for its New York vault and is a natural extension of its existing capabilities and the enactment of our long term strategy to build a fully integrated global metals platform. StoneX can now offer the customers a comprehensive global one stop shop service of hedging, physical supply, vaulting, financing, and physical fulfillment, all managed through a single convenient relationship. The JBR acquisition. StoneX further deepened its end to end metals offering with the acquisition of JBR Recovery Limited, one of only two LBMA good delivery silver refiners in the UK. This refinery provide provides invaluable -- I'm sorry. This refinery proved invaluable during the CME versus OTC price dislocations in Q2, as StoneX was able to produce its own CME eligible material in order to mitigate this price risk. Having this extension to the StoneX ecosystem allowed StoneX to produce approximately a 120 tons, about 4 million ounces of CME eligible material since the acquisition closed in October. The integration of JBR with the broader StoneX Group has proceeded smoothly with investments anticipated in the short term to increase production capabilities and capacity significantly, better serving our customers' needs and natural demand for metal. In continuation of our ecosystem expansion, StoneX Metals has established a presence in India's First free financial free zone, GIFT City. StoneX became the first international trading and clearing member on IIBX, pioneering international ass access to India's precious metals market. StoneX was also the first member to import under the QSIFSCA category and the first international company on India in the India International Bullion Exchange. This was a natural area of expansion in light of the unique position of StoneX as the leading non-bank importer of gold into India. Number two, growing and diversifying our client base. As we are constantly evolving our client mix to capture new growth opportunities, our metals clearing business has attracted new institutional participants, including other SCMs, which we feel is a testament to our operational excellence and capital efficiency. Our focus on building proprietary pricing and risk management tools is enhancing our electronic offerings in both base and precious metals with automatic FX cross rates where required, which in turn is attracting a sizable increase in clients, especially funds and financial institutions. We are continuing to expand our geographical retail footprint beyond Europe into Asia, The Middle East, and North America, supported by a localized digital presence, enhanced logistic capability naturally enhanced with the addition of the New York based Vault. Number three, digitizing our business. Consistent with much of StoneX, we are using technology to internalize flow, optimize execution, and scale up our platforms. Our internalization engine continues to drive greater execution efficiency and margin capture, particularly during periods of high volatility. Later this year, our existing fronts and trading platforms, both PMExecute and BMExecute, shall be integrated into a broader multi-asset class access platform for the StoneX Group. With volumes through both platforms at record highs, this will fully integrate trading, risk management, account management, and reporting for clients across LME and precious metals products. It also includes a mobile trading capability, which will be a major step forward in platform accessibility. And so in conclusion, despite a challenging macroeconomic backdrop, Q2 ’25 showcased best in class resilience, agility, and depth of products and service provided by StoneX Metals, a uniquely diversified and fully integrated business with the deepest non-bank metal vertical in this space and a truly unique ecosystem that is second to none. With a [Indiscernible] anchored in the ecosystem expansion, client diversification, and digitization, StoneX Metals is well positioned to lead in the evolving global metals marketplace. Thank you, [Technical Difficulty] closing remarks.
Sean O'Connor : Thanks, Philip. Let's move to the final slide number 16 in the deck. This was another strong quarter for us in what has been a long series of quarters where we have exhibited growth off the back of our broad based strength across most of our products and segments. We achieved earnings of $71.7 million and diluted EPS of $1.41 up 35% and 25% respectively. Our business has shown its resiliency by producing these growing results in markets where volatility is generally being muted, albeit in a rising It seems to us that there's a period of higher volatility ahead, while interest rates have stabilized, which bodes well for the continued growth in our business. The addition of RJO will be significantly accretive to our earnings and our franchise generally and we believe the acquisition will further accelerate our current growth trajectory. As I mentioned earlier, there's been quite a transformation in the last five years since we acquired GAIN Capital. Since December 2019, we've grown our stock equity over threefold and following the acquisition of R.J. O'Brien on a pro forma basis including synergies, the combined entities will have around $750 million in EBITDA, up nearly 6 times without as yet factoring in any revenue synergies. We are now even better positioned to capitalize on the ongoing industry transformation driven by regulatory change and market consolidation to become the counterparty of choice for clients of all types looking for access to the global financial markets. These shifts will continue to create significant opportunities for StoneX to expand its market share and provide a substantial runway for growth. Our ecosystem underpinned by broad capabilities and diverse offerings enables us to deliver innovative solutions that will provide clients with access to markets, expand their market reach and create long term value. The one thing will always be constant for the StoneX team and that is to dedicate ourselves to better serve our growing client footprint around the world by providing them with the best financial ecosystem and the best client service to access the global financial markets. Operator, with that, let's open for questions, if there are any.
Operator: Thank you. At this time, we will conduct the question and answer session. [Operator Instructions] Our first question comes from Dan Fannon with Jefferies. Please go ahead.
Dan Fannon : Thanks. Good morning. Just wanted to touch base on just the environment. Obviously, a ton of volatility in the quarter and subsequently in April. The metrics you put out were obviously look strong, but just curious about the health of the markets and how things behaved in the quarter. And as you think about prospectively, do you I mean, obviously not be able to predict volumes, but do you think a return to normal or you is reasonable in terms of just kind of the near term kind of outlook?
Sean O'Connor : Well, good morning, Dan. First of all, as I said in my remarks, we obviously, if you're looking back over a slightly longer period, say, the last 12 to 18 months. I think we generally saw volatility decline and sort of interest rate environment getting better for us. So those were the two sort of macro factors. I think we've now seen interest rates sort of stabilize. I think originally we thought they might move down a little bit faster. They haven't done that. But I think what we've also noticed is the volatility has dramatically increased, right, certainly over the last couple of months with tariffs and so on. This is my personal view. I don't have a crystal ball for the future, but I would anticipate that volatility will be higher in the next 12 months than it was in the last 12 months. I think the sort of chaos around tariffs, the reformatting of trade globally, the sort of high debt levels that we're seeing, uncertainty around supply chains and inflation. I think these are all things that will lead to volatility, maybe sporadic bouts of volatility, but I would say on average volatility being higher. So we feel good about the environment. I mean, we obviously thrive in volatility. I think what we volatility. I think what we don't want to see is massive dislocation. I think that's not good for us or for the market. And we certainly don't want to see extreme volatility. Because extreme volatility tends to sort of hurt clients. So you get a lot of, I guess, revenue while it's happening and then you sort of -- that revenue is sort of front ended and then sort of clients end up not doing much afterwards. So we don't want to see that environment. I think there were sort of a little bit of that around the gold market as Philip alluded to. I mean, that was sort of a dislocation, which, you know, for us was great because we had all the capabilities to take advantage of that situation. But I wouldn't want to see too much of that happening. So, my hope is that doesn't happen. And my prediction, if I had to make one, is that we'll see slightly higher volatility going forward, which I would say would be a net positive for us. I don't know if that adequately answers the question, Dan.
Dan Fannon : No, it's helpful. Obviously, no one has a crystal ball, but that is helpful. Question just on the payments business. You guys gave us additional detail last quarter, just in terms of how that's different in the market. But as you look at just kind of the results, the last four quarters, we've seen down year over year growth. As you think about the business today and the prospects for it going forward, what do you think gets or what are the catalysts to start to return to that more growth in that segment?
Sean O'Connor : Okay. Sure if Philip wants to jump in here. So let me go first and then I'll let him fill in. I would say again looking over a slightly longer period, so the last sort of 24 months I would say and I think I mentioned this previously. I think we became a little bit challenged on the capacity side with our technology. I mean our business has obviously ramped significantly over the sort of prior 10 or 15 years. What we do is not easy. I mean, we are linking to 180 markets and correspondent banks in all those markets, some of which aren't on the leading edge of technology. So we built our technology and then I think we realized that we had sort of hit a plateau and we had to do a technology rebuild, which meant we had to back away a little bit from certain markets and certain high volume transactions with our business partners, which one hates to do. So we built our own in house system. It's called XPay. That's been about two years in the works. That was sort of the master plan to really significantly upgrade our tech stack there and provide us with significantly greater capacity as well as much higher STP rates. And pleased to say that is now operational. It was delivered in January. It's sort of working flawlessly. There are a couple more modules to add on to that, but it's allowed us to sort of open the taps a little bit. So I think what you'll see and what you notice in this quarter is volumes were up pretty nicely, and that's probably the first time in a while we've been able to let our volumes go up. I think don't have the number right in front of me, but I think it was like 17% in terms of ADV, quarter on quarter. So that as I've always say, that's sort of the number one thing for us to watch, right, is are we getting engagement from clients? Are we picking up more volume? There's certainly at this point that data point would indicate we sort of turned the corner. We now are using that surplus capacity. Volumes are going up. On the flip side, again also discussed previously, we've been very challenged on the market side. A lot of the spreads have narrowed in. We've seen this occasionally where we've sort of had spreads generally narrow in across all of our markets. Normally, we have a couple big corridors, sort of have a little bit of chaos, which allows us to get some rate capture there. But for a while now, it's been sort of consistently tight across the board. And if you have a look, that shows up in lower rate per million capture. Right? So what we've seen is volume started to increase, which I think is a really good sign, and a continued sort of tough trading environment. So that's kind of what the recent data points show us. I think on a go forward basis, we now are able to do large amounts of lower volume transactions with our new tech stack. I think we're now re pitching those services to all our bank partners. I would hope to see continued volume increase as we go forward. And then obviously in terms of rate capture that really depends on sort of market conditions, so quite hard to predict. So I'm hoping we've turned the corner here. I think the tie up with Bamboo is very exciting for us. It definitely extends our ecosystem in Latin America very significantly. It's something our clients have been asking us for two, three years now. We were trying to solve the problem ourselves, but you know, it's a big lift, and we saw an opportunity to partner with Bamboo. So that immediately enhances our ecosystem and our capabilities. And I think that will again drive, more volume. So we sort of hope for we threw this kind of the lull we had in that business a little bit just because of the technology changes and we now think we sort of got the best in class technology solution. We sort of future proofed the business for 20x growth at this point. And, now we've got to go and go get that growth. So I'll stop there and see if Philip, wants to add anything to that. Philip?
Philip Smith : Well, I think you've covered pretty much everything there, Sean. But, just as illustrative, purposes, the capacity issue which forced us previously to have to turn away business because we had a lot of banks wanting to provide us access to their low value, high volume payments and which they struggle with. And because of capacity issues from our own systems, we were unable to take all this business on. So you can imagine the relief and the excitement from the team in rolling out our own XPay to give them that additional capacity in tenfold capacity. Where we were able to go back to these banks and say, okay. Thank you for being patient. Thank you for waiting for us. And, we are we're very happy to provide the service to you. And to give an example, this is literally this week, we had some 2,500 payments to Vietnam, which ordinarily would have been a struggle for us to do it over a period of a month. We did it in one morning out of our Singapore office. So very straightforward, very easy, and illustrating the increased -- the ability to service those clients. We should have been waiting patiently for us to build out the technology to do so. And as Sean said, we still look at the volumes, the volumes going throughout our channels as early indicator and being able to take advantage of the widening of spreads where appropriate and where they appear, which I think is pretty much what we covered in the last deep dive to highlight what we're building, why we're building it, and what will be the benefits of the build out.
Sean O'Connor : Did that answer your question, Dan?
Dan Fannon : Yes, it does. And then just my last question is just on the retail segment. Fee per million came in much lower than we've seen over the last previous several quarters. And I guess I'm just a bit surprised just given the environment volatility, I thought spreads might have been a little bit wider and that might have been still a good constructive environment. So can you talk just a bit about the mix and kind of what happened or what was kind of driving that in the quarter?
Sean O'Connor : Bill, I don't know if you want to jump in, but again let me give some initial comments. Firstly, and I think I said this previously, our revenue capture, was kind of off the charts previously, sort of way above where we expected it to be. And obviously, great when that happens, but very hard to sustain that level of revenue capture. So I think we're trending down to a more normalized level. So, yes, it's a decline from where we were. But I think we were sort of at unusually high levels in in the last two quarters, certainly. So I think this is the sort of level we probably anticipate, and I think there was a little bit of product mix which drove that as well. Bill?
Bill Dunaway : Yeah. I mean, just to chime in there, I think at the beginning of the quarter, Dan, it was kind of a tough environment, a lot of banded trading and just generally directional markets that kind of limited. And as Sean touched on, there was also just kind of some product mix, if a lot of them flow was in very these indices that had pretty tight spreads. I think towards the end of the quarter that picked up and started to improve. So I think towards the end of the quarter, it was much stronger, obviously, as you would think from the standpoint of the volatility that was creeping in. But early in Jan, it was more of a difficult environment.
Dan Fannon : Great. Thank you.
Bill Dunaway : You're welcome.
Sean O'Connor : Any other questions?
Operator: Yes. Our next question comes from Jeff Schmitt with William Blair. Please go ahead.
Jeff Schmitt: Hi. Good morning, everyone. Could you talk about your risk --
Sean O'Connor : How are you?
Jeff Schmitt: I'm good. I'm good. Could you talk about your risk management policies in general and just how you're able to avoid large losses during this higher volatility?
Sean O'Connor : Well, that could be a really long conversation, so let me try making a making a short one. So, obviously, when volatility goes up, the potential for risk or risk manifests itself. Right? And these are times where we get a good sort of test of our systems. And, the first thing to say is I think we perform pretty flawlessly. Everything, sort of happened. Margin calls were made, and sort of almost hate to say this, but sort of unusually good. Right? I mean, you normally expect when you see this kind of volatility that you might have a few small problems here and there, but honestly didn't have any. So that was great. I would say generally with risk management is you can't stop changing your risk management or figuring out risk management when you're in the eye of the storm. Risk management is a culture. It's something that you've got to define upfront. You've got to create muscle memory around. You've got to have all the disciplines in all the time. So when the storm hits, you're sort of prepared and you're just executing your plan, right? When you start to try and make up things when the market hits you, it's too late, right? So I think we pride ourselves on making sure we instill those disciplines and get that muscle memory throughout the organization. So when we go through these times, everyone knows their assignments, everyone knows what to do and we sort of execute on plan. And I think that's pretty much what happened. And I would say generally speaking there's the fundamentals to risk management are to make sure that you are dealing with clients and the positions clients are running with you are appropriate to the size of organization you are and that you are comfortable and know the risks associated with those positions and can handle them. I think when people get upside down on risk is when you start taking on clients that are too big for you, they might be excellent clients. I mean, for example, if one of the big national airlines came to us to hedge energy that would be a great client for us. But the size of positions they'd be running with us would be too big for the size company we are and replace liquidity and other risks on the system. So you've got to make sure that constantly you are rightsizing your business with the market, the market liquidity, the clients, so that you have a well-diversified business that doesn't expose you to outsized risks in the event of a black swan event. So that's the fundamental sort of core thing that underpins our strategy. But we got a great risk team. They're battle hardened. I mean, we've come through any number of sort of black swan events. And I think we've, you know, proven that we can handle lots of these. Now I'm touching wood as I say this because, you never know what the next thing is coming at you, but I'm very confident in our risk management capabilities. And, if you would like to go through that in a much more granular way, I'm more than happy to take you through that.
Jeff Schmitt: Okay. Great. And then just a question on if this administration were to loosen up banking regulations and capital requirements after the tariffs. Do you think it could cause some of your larger competitors to maybe get more competitive in some of your markets, or, could it change the kind of industry consolidation dynamics at all?
Sean O'Connor : We've been asked this question a while. I think it might slow things down a little bit, but I don't think banks are going to reverse course on this. I think they've so reformatted their businesses. They're out of proprietary trading. The client's sort of execution side of the business has been dramatically sort of refocused onto large clients that do other business with the banks. I think that obviously welcome some relief, but I don't think they will reverse course is my personal opinion. You may find that they are less willing to sort of shed to --continue to shed more business and see less need to do that if they're not pushed by capital. So I don't think it's going to have an immediate impact that I can see. I think they are making so much money doing other things that they'll probably focus on those businesses that are meaningful for them and really sort of move the needle rather than sort of get into businesses like this, which probably, for them, aren't going to really move the needle that much. That would be my view.
Jeff Schmitt: Okay. That's helpful. And just last one on the RJO deal. I mean, any updates on revenue synergies, or do you sort of have to wait until that closes to get a better sense of that client list and the opportunities there?
Sean O'Connor : Yeah. So, obviously, we are two competitors in a very competitive industry. And because of that, we have to stay sort of totally separate and aren't in a position to get sort of granular in terms of who the clients are and what we can do with those clients. So it's quite hard for us to put any definitive metrics around sort of the revenue in the way we can with say costs. And we'll only be able to really do that after closing. But having said that, we've had broad and sort of general discussions with the senior leadership at RJO and sort of demonstrated and shown them sort of what our capabilities are and what our toolkit is, which I think is much more broad than what they've had to date. And I think the general view is people are very excited over there. I think they should be. And I think we have a lot of products that are very applicable to their clients. And I think certainly the two of us as a combined force will be terrific. And I think we'll add a lot of additional revenue from their clients. It should be good for the brokers or the client relationship. People are going to make more money. We're going to make more money, and we're going to end up serving the clients better, which is the most important thing. So, no. So we I can't be definitive about it, but the basic work we've done and sort of looking at sort of how much money we generate out of similar clients to the RJO clients and comparing would lead us to believe that the revenue synergies are significantly larger potentially than the cost synergies on the bottom line. But it may take a while to realize, right? I mean, it could be sort of 12 to 18 months before we see those showing up. It takes a long time to educate the sales force and get the products into the clients. So it's a lot longer process potentially, but I think could be more significant.
Jeff Schmitt: Right. Okay. Thank you.
Sean O'Connor : All right. Operator, is there anyone else?
Operator: I'm showing no further questions at this time. I'd like to turn it back to Sean O'Connor for closing remarks.
Sean O'Connor: Alright. Well, thanks everyone for joining. We appreciate your time. As you can tell, it's been a pretty busy six months over here at StoneX and we're all very excited. And this could be the beginning of a really exciting new chapter with us and R. J. O'Brien as well as all the other acquisitions we've got. We certainly feel we've got a lot to do and a lot of opportunity, that we need to take hold of here. So very exciting, and, we look forward to reporting back. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.